Operator: Welcome to the IBEX Second Quarter FY 2025 earnings conference call. At this time, all participants, please be advised that today's conference is being recorded. After the speakers' presentation, there will be a question and answer session. To withdraw your question, please press star one one again. To note, there is an accompanying earnings deck presentation available on the IBEX Investor Relations website at investors.ibex.co. I will now turn this conference over to Mr. Michael Darwal, Head of Investor Relations for IBEX.
Michael Darwal: Good afternoon, and thank you for joining us today. Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals, and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinion as of the date of this call, and we undertake no obligation to revise this information as a result of new developments, which may occur. Forward-looking statements are subject to various risks, uncertainties, and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our annual report on Form 10-K filed with the US Securities and Exchange Commission on September 12, 2024. I will now turn the call over to IBEX CEO, Bob Dechant.
Bob Dechant: Thanks, Mike. Good afternoon, everyone, and thank you all for joining us today as we share our second quarter fiscal year 2025 results. I'd like to start by once again thanking my team for a tremendous quarter. They continue to show why they are the best in the industry. The second quarter was strong across the board. We achieved our highest growth in two years at 6.1%. This enabled us to post the highest revenue for a quarter in the history of IBEX. In addition, we had another great quarter on profitability and now have improved adjusted EBITDA margin over the prior year in ten out of the last eleven quarters. Our top-line growth starts with the success of our powerful new logo engine and our ability to highlight our differentiation, enabling us to win large enterprise deals with trophy brands. Our growth is then accelerated by our ability to take market share within our embedded base clients, driven by our ability to outperform the competition. This is our proven land and expand playbook. Also important to our success is our high client retention, where our revenue retention rates are some of the highest in the industry, highlighting our ability to be a strategic partner with our clients. We also had important wins with our WaveIX translate and automate Generative AI solutions that position us well into the future. These wins added to an extremely strong quarter. More on this later. These growth factors continue to be our margin expansion drivers. We continue to grow aggressively in both our highest margin regions, exemplified by 14% year-over-year growth in our offshore region in Q2, and in our highest margin services, highlighted by 8% year-over-year growth in omnichannel revenue in Q2. These vectors have enabled us to expand adjusted EBITDA margin consistently. As a result, we remain confident in our ability to continue to drive top-line growth and expand margin. I'm proud to report the following highlights for Q2 FY 2025. We delivered record Q2 revenue of $140.7 million, up 6.1% from a year ago. We expanded adjusted EBITDA margin 100 basis points from the prior year to 11.8%, while delivering record Q2 adjusted net income of $9.6 million, up 20% from a year ago. We achieved adjusted EPS of $0.59, up 36% from a year ago. We closed five new logos in the quarter for a total of eight year-to-date. Several of these new wins include both traditional agent and innovative generative AI deployments, demonstrating the power of our differentiated solutions. We executed the strategic repurchase of approximately 3.6 million shares from TRGI, enabling us to eliminate our status as a controlled company within the NASDAQ definition. This will provide better independence for us as a company. And we bolstered our board of directors with the additions of JJ Zhuang, Patrick McGinniss, and Karen Battambachal, who bring strong industry and AI talents. Lastly, we had a great quarter winning opportunities and launches with our WaveIX AI solution stack, placing IBEX ahead of the market as we turned the quarter into our fiscal Q3. We are winning with both AI translate and AI Automate Solutions. These mark significant milestones for IBEX, as we continue to redefine the customer experience for many of our clients. As a reminder, our WaveIX AI translate solution is a disruptive solution that displaces old-world third-party language translation service bureaus. As an example, for one of our hospitality clients, we are able to have our English-speaking agents provide multilingual support utilizing AI for real-time translation. This eliminates the need to augment our trained customer service agents with additional language translation-only agents, providing a game-changing solution that significantly improves the customer experience and reduces unnecessary costs. This has already been positively seen by clients across a multitude of industry segments and is 100% accretive to revenue and profitability. Our WaveIX offering also includes our AI automate solution, where we leverage our deep analytics and AI to automate low-complexity call types. This is an enterprise-wide solution, meaning we are providing 100% of the automated support for our clients. So in implementations where IBEX is one of multiple BPOs providing contact center services, which is the high majority of our engagements, we see this as both incremental to revenue and margin while further enhancing our trusted partner status with our clients. As a result, we are increasing our stickiness with our clients and expanding our competitive moat. And this positions us extremely well as we look out over the next several years. In summary, we are bullish on the trajectory as we move into the second half of FY 2025. We believe our business is well-positioned today for continued growth, strong EPS, and one where we lead the competition from an AI perspective. Our ability to win on the big stage with trophy clients against our much larger competitors is the staple of IBEX. I'm extremely proud of the business we have built. I expect this to continue throughout FY 2025 and beyond. With that, I will now turn the call over to Taylor to go into more details on our second quarter FY 2025 financials and guidance. Taylor?
Taylor Greenwald: Thank you, Bob, and good afternoon, everyone. Thank you for joining the call today. In my discussion of our second quarter fiscal year 2025 financial results, references to revenue, net income, and net cash generated from operations were on a US GAAP basis, while adjusted net income, adjusted earnings per share, adjusted EBITDA, and free cash flow are on a non-GAAP basis. Reconciliations of our US GAAP to non-GAAP measures are included in the table attached to our earnings press release. Turning to our results. Our second quarter results are among the strongest in our history with record top-line results. Second quarter revenue was $140.7 million, an increase of 6.1% from $132.6 million in the prior year quarter. Revenue growth was driven by vertical growth in health tech of 31%, travel transportation and logistics of 17%, and retail and e-commerce of 4%, and was partially offset by a decline in the FinTech vertical of 15%. Our focused efforts to grow our higher margin offshore delivery locations are paying off. Offshore revenues now comprised 53% of total revenue versus 49% in the prior year quarter. Revenue mix in our higher margin digital and omnichannel services also continues to be strong. Digital and omnichannel delivery represented 80% of our total revenue, an increase from 79% in the prior year quarter. For context, digital omnichannel comprised roughly 65% at the time of our IPO in 2020. We expect that we will continue to be successful driving growth in these higher margin regions and services as new client wins and growth in our embedded base continue to be focused in these areas. Second quarter net income increased to $9.3 million compared to $6.1 million in the prior year quarter. The increase was primarily driven by the meaningful growth of work in higher margin offshore regions of 14% year over year for the quarter, and the realization of the site and cost optimization efforts completed over the past year, partially offset by higher income tax and interest expense. Fully diluted EPS was $0.57, up from $0.33 in the prior year quarter. Contributing to the EPS growth was the impact from fewer diluted shares outstanding, including the repurchase of 3.6 million shares from TRGI in November. Our weighted average diluted shares outstanding for the quarter were 16.5 million versus 18.4 million one year ago. In the third quarter, we expect this number to be approximately 14.3 million shares as we realized a full quarter impact from the 3.6 million TRGI share repurchase. Moving to non-GAAP measures. Adjusted EBITDA increased to $16.5 million or 11.8% of revenue from $14.3 million or 10.8% of revenue for the same period last year. The 100 basis point improvement in adjusted EBITDA margin was primarily driven by growth in our higher margin offshore locations during recent years, growth in key verticals from existing and new clients, plus throughout fiscal 2024 and fiscal 2025 to date, and stronger operating results due to site optimization efforts. Adjusted net income increased to $9.6 million from $8 million in the prior year quarter. Non-GAAP fully diluted adjusted earnings per share increased to $0.59 from $0.44 in the prior year quarter. The increases were driven by the higher EBITDA and fewer diluted shares outstanding, offset by higher income tax and interest expense. We expect our tax rate to track toward 21% to 22% for the year. As a company, we are pleased with the client diversification we have established over the last several years. For the second quarter of fiscal year 2025, our largest client accounted for 12% of revenue, and our top five, ten, and twenty-five client concentrations declined compared to the prior year to 39%, 54%, and 79% from 41%, 59%, and 82% respectively, of overall revenue. Representative of a well-diversified client portfolio, which continues to become more diversified. For the past decade, we have done a tremendous job retaining our top twenty-five clients and are excited to see one of our signature client wins from fiscal year 2024 already move into our top twenty. Switching to our verticals, HealthTech increased to 15.1% of second quarter revenue, versus 12.2% in the prior year quarter. Travel, transportation logistics increased to 13.7% versus 12.5% in the prior year quarter. And retail and e-commerce remained relatively consistent at 28.5% versus 29% in the prior year quarter. These increases were driven by continued demand in multiple offshore geographies and our continued ability to win significant new clients in these verticals. Conversely, our exposure to FinTech verticals decreased to 11% of revenue for the quarter versus 13.7% in the prior year quarter, impacted by the changing landscape for some client payment support models and geographic shifts from onshore to offshore delivery. Net cash generated from operating activities was $1.1 million for the second quarter of fiscal year 2025 compared to an outflow of $1.6 million for the prior year quarter. The increase was driven by increased revenues and stronger operating results, partially offset by longer DSOs for our receivables. Our DSOs were 79 days, up from 75 days at the end of the first quarter, as we experienced our typical seasonal increase in DSOs and also some delay in payments related to having our clients remit payments into a new bank account. We expect our DSOs to remain stable in the mid-70s on a go-forward basis. Capital expenditures were $4.3 million or 3.1% of revenue for the second quarter, versus $2.9 million or 2.2% of revenue in the prior year quarter. This increase was primarily driven by expansions in our offshore nearshore regions to support growth in these higher margin geographies. Free cash flow was an outflow of $3.2 million in the current quarter, compared to an outflow of $4.5 million in the prior year quarter. The improvement was driven by increased net cash provided by operating activities, partially offset by higher capital expenditures during the current quarter. We ended the second quarter with $20.2 million of cash and debt of $33.9 million for a net debt of $13.7 million, compared to $62.3 million of cash and debt of $1.5 million or a net cash of $60.8 million at the end of our first quarter. The decrease in our net cash position during the quarter was primarily driven by the share repurchase of 3.6 million shares from TRGI for $70 million. We funded the share repurchase with $45 million of cash on hand and a $25 million convertible promissory note from TRGI. After the second quarter ended, this note was paid in full with proceeds from our new revolving lines of credit with HSBC. To summarize our second quarter, we delivered strong top and bottom line second quarter results. We accelerated our top-line momentum with over 6% revenue growth, driven by new client wins over the last year and continued expansion of our embedded client base made possible by strong service delivery. Additionally, our profitability continues to improve, where for ten of the last eleven quarters, we have delivered year-over-year adjusted EBITDA margins, enabling strategic investments in AI capabilities and sales resources. These results instill continued confidence in the execution of our strategy throughout 2025, enabling us to raise our fiscal year guidance and continue to return value to shareholders. Revenue is now expected to be in the range of $525 to $535 million, versus a previous range of $515 to $525 million. Adjusted EBITDA is now expected to be in the range of $68 million to $69 million, versus the previous range of $67 to $69 million. And capital expenditures are expected to remain in the range of $15 to $20 million. Our business is well-positioned for today and for the years ahead, and we're excited about the future of IBEX as we head into the third quarter of fiscal year 2025 and beyond. With that, Bob and I will now take questions. Operator, please open the line.
Operator: Thank you. As a reminder, to ask a question, please press star one one on your telephone and wait for your name to be announced. Our first question comes from David Koning with Baird. You may proceed.
David Koning: Yeah. Hey, guys. Congrats on another great quarter. Really good to see.
Bob Dechant: Thanks, David. Yep. We're really pleased with the results we posted.
David Koning: Yeah. Yeah. And maybe to start, just on revenue, is it a combination? Is the backdrop getting better? You know, maybe a combination of a few kind of things. Is the backdrop getting better? Are you just winning against others? And how is Gen AI? I mean, you kinda talked a little bit about it. Is Gen AI actually a tailwind, headwind, a little of both? Like, you know, because all those three things seem to be driving revenue.
Bob Dechant: Yeah, David. So appreciate the question. And, you know, maybe it's a little bit of all of the above. But I think probably the biggest drivers for us are our continued winning new logos that then drive a lot of, you know, a lot of revenue growth with them in, you know, kind of in their year twos and things like that. So, you know, and that's been a staple of IBEX, so our ability to win and then land and expand and get those, you know, those new clients growing. So that's, you know, that's I think, probably one of the biggest drivers. Actually, it is the biggest driver. The second driver that's going on is, for us, is our ability to win market share. And I will say a lot of the embedded base clients are looking and moving some of their business into the lower labor cost markets. That, as you know, over the years has been the game. You know, a lot of that's been taking place that puts pressure on, you know, on top-line revenue. What we've been able to do is manage through that but take market share. And so I think we're, if you look at our competitors, where those events are putting serious headwinds into their business, for us, it isn't because we're winning market share. And as both Taylor and I said, we're winning market share because we're out-executing our competitors. And so those are, I think, the two biggest variables. And then the third one, just around the macro and, you know, kind of demand, I would kind of sit and say that, you know, the demand has stabilized. I'm not sure the demand's come back. Right? And so but the good news is it's stabilized, and that's, you know, allowing us to, I think, continue to build the momentum. And as you see now, the last several quarters, our top-line growth continues to build and grow.
David Koning: Yeah. Yep. No. That's great. And then, I guess, secondly, just on margins, I mean, you continue to put up really good margins. The way you're guiding the back half, though, it looks like margins might be down just a touch in the back half to get the, you know, the updated EBITDA guidance. I mean, you raised EBITDA, which is great. But Q2 is so good that it actually takes a little bit of margin, creates a margin headwind, it looks like, in the second half. Right? So just kinda wondering on that.
Bob Dechant: Yeah. Hey, Taylor. I'll throw that over to you.
Taylor Greenwald: Yeah. No. Absolutely. So, David, if you look at our gross margins, on the gross margin level, we improved at 140 basis points in Q1, 210 basis points in Q2, and we expect that improvement year over year to continue into Q3 and Q4. So we're feeling very good about the profitability of our business. What we're doing, and it's intentional, is we are investing in SG&A, in sales resources, in technology, both in the infrastructure as we recently implemented our new financial system and HR system, and then also in AI capabilities, to grow the business. But if you look at the back half of the year in terms of our guidance, you know, we're still at around, what, 14% adjusted EBITDA margin. So we still feel very good about that, and it's the fact that our gross margins are seeing such improvement that we're able to invest in growth and continue.
David Koning: Gotcha. Well, great job, guys. Thank you.
Bob Dechant: Great. David. Thanks. Good catching up.
Operator: Thank you. And as a reminder, to ask a question, please press star one one on your telephone and wait for your name to be announced. And I'm not showing any further questions. I'd now like to turn the call back over to Bob Dechant for any closing remarks.
Bob Dechant: Josh, thank you, and thank you all for attending. We're really proud of what we continue to do as a team, what we do operationally, what we do financially, and then from a strategic standpoint, with our AI strategy. Put all those elements together, I love the trajectory of our business. And thank you all, and we'll talk to you next quarter. Good night.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.